Operator: Good morning, ladies and gentlemen and welcome to the Institutional Financial Markets’ second quarter 2013 earnings conference call. My name is Maria and I'll be your operator for today. At this time, all participants have been placed in a listen-only mode. Following formal remarks, the call will be open to a question-and-answer session and instructions will be provided at that time. As a reminder, this conference call is being recorded. Before we begin, IFMI would like to remind everyone that some of the statements of the company made during this call may contain forward-looking statements under applicable securities law. These statements may involve risks and uncertainties that could cause the company’s actual results to differ materially from results discussed in such forward-looking statements. The forward-looking statements made during this call are made only as of the date of this call and the company undertakes no obligation to update such statements to reflect subsequent events or circumstances. IFMI advises you to read the cautionary note regarding forward-looking statements in its earnings release and in its most recent Annual Report on Form 10-K filed with the SEC. Please note also that in the company’s quarterly earnings release for the second quarter of 2013, the non-GAAP measures of performance have been reconciled to their corresponding GAAP measures of performance. I would now like to turn the call over to Mr. Daniel Cohen, Chairman and CEO of IFMI.
Daniel Cohen: Thank you, Maria and thank you everybody for joining us for our second quarter 2013 earnings call. With me on the call are Lester Brafman, our new President and Joe Pooler, our CFO. I just like to welcome Lester to this call and welcome Lester in this public forums of the company. Lester is a great addition to our team and we are excited to have him on board and have him assume ever more increasing responsibilities. He did join us however at in a time, as our results were flat both the reduced trading volumes and mark-to-market of our books based on the sudden rates, rise in rates in June, as well as another unfavorable mark both mostly attributable to be yen in Star Asia, however we expect with his addition and our anticipated transaction that we’ve announced that our future should be his to lead us to great things. So we are really looking forward to benefiting from his financial industry experience, his capital market experience as we continue to execute on our growth strategies and take advantage now of improving market conditions to increase shareholder value. With that, let me turn the call over to Lester.
Lester Brafman: Thank you, Daniel. After about two months as President of IFMI, I want to say that it’s been a pleasure to meet so many counter professionals across the various IFMI platforms, together we are working with IFMI, an employer of choice for our financial services professionals while also enhancing our shareholder value. As you guys know the current market conditions are very challenging especially for small firms like IFMI. And despite the unfavorable market, I am confident that we can continue to look for ways to drive improved returns for our clients. And the further, we would like to, we look forward to completing our strategic investment by Mead Capital Partners and Cohen Bros. Financial, they can provide the company with additional capital in excess to two counter professionals Chris Ricciardi and Jack DiMaio. From a strategic standpoint, my goal is to focus on a core compensation structure products and structure credit. Within these verticals, we will continue to grow sales trading origination efforts while at the same time seek initiatives we are underserved by the both racket firms. Also may be we would like to get back to growing at management business which will include pursuing financial partners and warehouse partners and mention as a management team and all of those synergistic with our core competencies. We continue to look at way to enhance our credit physicist while safeguarding our existing operating income streams and looking to implement best practices our various platforms within IFMI. As for second quarter results, we continue to experience weakness in trading volumes and some mark-to-market loses in our trading books. These are further combined by unfavorable mark-to-market loss on our Star Asia investments while we continue to see reduced trading volumes in the second quarter we were able to reduce nine comp operating expense by over $500,000 versus first quarter 2013 through prudent cost management. Assuming improved borrowing conditions, we believe we are well positioned to deliver enhanced results over the rest of the year. We also believe our expanded leadership team and additional capital will increase our ability to grow stockholder value. And our Board continues to return value to our stockholders through its $0.02 dividend for the quarter. As always and especially in the context of these challenging markets, we will carefully review our dividend policy in the coming quarters. Finally, special thanks to Daniel, who has been in majorly helpful during this transition period. I look forward to working with him as we continue to grow Europe and our IFMI Enterprises. Now, Joe can you walk through the rest of the financial highlights in more detail?
Joe Pooler: Thank you, Lester. In terms of our statement of operations, our adjusted operating loss was $5.1 million for the quarter ended June 30, compared to an adjusted operating loss of $5.6 million for the quarter ended March 31 and adjusted operating income of $2.8 million for the prior year quarter ended June 30. The current quarter was unfavorably impacted by a mark-to-market loss on the company's Star Asia investment of $3.6 million primarily driven by weakening of the Japanese Yen during the quarter. As a reminder the prior quarter was unfavorably impacted by a mark-to-market loss on the Star Asia investment of $6 million. Our net trading revenue came in at $11.6 million in the current quarter, down $1.4 million from first quarter of ‘13 and down $8.3 million from the second quarter of ‘12. The quarter over quarter decrease occurred in both our JVB and PrinceRidge operations, while our European operations were up slightly. And the year ago quarter decreases occurred across all three of our trading operations which all experienced declines in the range of 30% to 50%. Trading volumes as well as the mark-to-market losses on our net trading inventory negatively impacted the net trading revenue in the quarter. Our asset management revenue was down $600,000 to $4.2 million in the second quarter of ‘13 from the first quarter and was down $500,000 compared to year ago quarter. As part of the sale of our Alesco 10-17 contracts back in 2010, we entered in to a monthly services agreement that ran through February of ‘1. The services agreement generated approximately $1.4 million of revenue per quarter this second quarter of ‘13 as the first quarter that doesn’t have any of the service agreement revenue. Second quarter 2013 principal transactions and other revenue was negative $2.6 million, which compares favorably to the first quarter of ‘13 but unfavorably to the year ago quarter as already noted, included in the $2.6 million negative revenue was the $3.6 million mark-to-market loss on our Star Asia investment. Compensation and benefits expenses for the second quarter of ‘13 of $12.5 million were down $1 million or 7% from the first quarter of ‘13 and $4.5 million or 27% from the second quarter of ‘12. In the second quarter of ‘13, compensation as a percentage of revenue was 91%. However adding back to mark-to-market loss on Star Asia, compensation as a percentage of revenue was 72% in the quarter, which is more in line with our expectation at these trading levels. With higher capital markets revenue, we would hope to push the compensation metric percentage of revenue down even further. Our total non-compensation operating expenses excluding depreciation and amortization for second quarter were $6.8 million, down $500,000 or 7% from the first quarter of ’13. In terms of our balance sheet as of June 30, our total permanent equity was 62.7 million. We have 41.3 million of net equity capital invested in our net trading portfolio, which was down $6.6 million from the end of the year. The other investments of fair value line consist primarily of the seed investments in sponsored and managed investment vehicles. The $28.7 million fair value includes $24.1 million related to our investments in Star Asia entities. Our consolidated corporate indebtedness was carried to $26.4 million. As of the end of the quarter we had $9.9 million of unrestricted cash balances. We believe the $9.9 million combined with the capital invested in our net trading portfolio and the capital from the transaction that we previously announced will be sufficient to fund their near term business model. As Lester noted, we announced the $0.02 dividend for the quarter and we’ll continue to review the dividend policy in the quarters ahead. The dividend is payable on September 4th to stockholders of record on August 21st. In July we announced the postponed of our 2013 Annual Meeting of Stockholders. The postponed was a result of requiring additional time to revise our proxy materials to respond to comments received from the SEC in connection with their routine review. We have received clearance from the SEC on the revised proxy materials and the Annual Meeting of Stockholders has been rescheduled for September 24th. We will file our proxy later this week. As previously disclosed the company expects to close its announced transaction with Mead Park and Cohen Brothers Financial immediately the Annual Meeting on September 24. Finally we will file our 10-Q no later than Friday, August 9th for the quarter. And with that, I will turn it back over to Lester for any closing remarks before we take questions.
Lester Brafman: Thank you, Joe. Any questions from?
Operator: (Operator Instructions). I am sorry we have no questions at this time, sir.
Lester Brafman: Okay, well, thank you everyone for joining and look forward to talk to you next quarter.
Operator: Thank you. This concludes today’s IFMI second quarter 2013 earnings call. You may now disconnect.